Operator: Welcome to the Camden Property Trust Second Quarter 2012 Earnings Release Conference Call. All participants will be in listen-only mode. (Operator Instructions). After today's presentation there will be an opportunity to ask questions. (Operator Instructions). Please note, this event is being recorded and I would now like to turn the conference over to Kim Callahan, Vice President Investor Relations. Ms. Callahan, please go ahead.
Kim Callahan: Good morning. And thank you for joining Camden's second quarter 2012 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC and we encourage you to review them. As a reminder, Camden's complete second quarter 2012 earnings release is available in the Investor Relations section of our website at camdenliving.com and it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. Joining me today are Ric Campo, Camden's Chairman and Chief Executive Officer; Keith Oden, President; and Dennis Steen, Chief Financial Officer. Our call today is scheduled for one hour as another multifamily company will be doing their call right behind ours. As a result, we ask that you limit your questions to two with one follow-up and rejoin the queue if you have additional questions. If we are unable to speak with everyone in the queue today, we'd be happy to respond to additional questions by phone or email after the call concludes. At this time, I'll turn the call over to Ric Campo.
Ric Campo: Good morning to most of you on the call, except these close folks. The band Train's hit Maybe This Will Be My Year was surely on the minds of our onsite teams as they prepare their 2012 operating budget. After the first two quarters, I suspect most of them, if not all, have dropped the Maybe part. The apartment business is great. In spite of slower job growth than we'd like, our markets are growing jobs faster than the national average keeping demand strong. New supply is not a threat. Camden residents are doing very well. Their incomes have increased from $63,000 to over $71,000 annually over the last year, reducing the percentage of rent income from 18.4% to 17.7%. Our residents have the capacity to pay more rent, even with the large increases that they have already experienced. Half of our markets have yet to reach peak rent levels that we achieved in 2008. Rents are still a bargain in many of our markets. I salute our teams for making the most of a very strong environment. It's easy to get complex in an environment like this. During the quarter, we acquired two properties for $100 million, at cap rates in the low 5s. The exclusivity period for acquisitions has expired for our fund. These properties and future acquisitions will be wholly owned by Camden. Our capital recycling program for the rest of the year will include sales of $350 million of properties, with an average age of 23 years, and cap rates in the 6s. Our $551 million development communities in lease-up and under construction continued to outperform our expectations. We expect the stabilized returns to be in the 7% to 8% range, which is 50 basis points higher due to higher rents, faster leasing, and lower construction costs. We plan on starting 1,237 apartments in four properties, totaling $290 million by the end of the year, of returns in the same range as the communities that I just previously discussed. The plan on continuing prefunding our development investment, with the combination of ATM equity issuance and unsecured debt. We have raised $233 million of equity through the ATM program during the second and third quarters. We have a target range of 4.5 times to 5.5 times debt-to-EBITDA. We will continue to strengthen our balance sheet, and improve the quality of our portfolio as we go forward. I would like now to turn the call over now to Keith Oden, our President and Chief Operating Officer, I guess.
Keith Oden: Chief President.
Ric Campo: Chief something.
Keith Oden: I always wanted to be Chief of something. Thanks Rick. Compared to our expectations so far this year, our onsite teams have gotten off to a remarkably good start. After a quarter like this, it's kind of tempting to just acknowledge our team members for a great quarter and move on to Q&A. With that in mind, my comments today will be brief. Virtually every metric that we use to monitor the conditions on the ground that our community remains either very good or excellent. For the second quarter, same store average rents on new leases were up 6%, and renewals were up 8.4% for a blended increase of 7%. August renewals are trending up 8% as well, with 40% completed so far in the month. Revenue growth for the second quarter was strong across our entire portfolio. We saw double digit revenue increases in four markets, Houston, Austin, Charlotte and Phoenix, and double digit NOI growth in seven of our 15 markets. Sequentially, the top six markets for revenue growth were Houston, Charlotte, Austin, Dallas, Atlanta and Denver, all with greater than 3% sequential growth. Our occupancy for the quarter averaged 95.3%, up four-tenths from the first quarter. We currently stand at 95.6% occupied. Our budgets assume that our occupancy rate would rise gradually over the year, but as it has turned out, we were able to increase occupancy aggressively in the first and second quarters, while continuing to raise rents. Our occupancy rates budgeted for the balance of the year look achievable, so the occupancy related gain in revenue in the first and second quarter, will likely not be a recurring variant to our plan. Compared to a year ago, our traffic is slightly down, but it's still sufficiently strong to allow us to raise both occupancy and rents. Despite the aggressive renewal increase, we continue to see manageable turnover rates of 59% in the second quarter, this compares to 57% in the quarter a year ago, and 48% last quarter. The percentage of residents moving out to purchase a home did move up to 12.6% in the quarter. It looks like this percentage have finally found the bottom. The financial health of our residents continues to improve. The percentage of our residents listing move outs for financial reasons or job loss dropped to 4.8% versus 9.3% a year ago. Also our bad debt expense for the first half of 2012 totaled 4% of total revenues, and that's well below our budgeted level of 0.6% of revenues. At this time I will turn the call over to Dennis Steen, our Chief Financial Officer.
Dennis Steen: Thanks Keith. I'd like to spend a few minutes this morning on our FFO guidance. We have revised our 2012 full year FFO guidance range to $3.50 to $3.58 per share, with the midpoint of $3.54, representing $0.09 per share improvement from the midpoint of our guidance range issued back in April. $0.08 of the increase is the result of higher than expected property net operating income, where $0.02 of the $0.08 reflected in outperformance to the midpoint of our guidance range for the second quarter of 2012, and $0.06 related to our projected increase in property NOI for the second half of 2012. The improvement in property NOI is primarily due to higher revenues from the lease-up communities in our development pipeline, as lease-up velocity and rental rates achieved are both running well ahead of our original expectations. Higher revenue growth from our same store portfolio, resulting from the continuation of higher than expected rental rate and other income increases across our portfolio. We now expect same store revenue growth between 5.5% and 6.5%, up from our prior guidance range of 4.75% to 6.75%. Lastly, property expenses are trending slightly better than expected. We have revised downward the midpoint of our full year 2012 same store expense growth to 2.75%, down 25 basis points from our original estimate. The favorability and property expenses is due to slightly lower than anticipated utility, repair and maintenance and leasing cost, partially offset by higher property and casualty insurance premiums, resulting from our insurance renewals completed in May. As to property taxes, we have been expecting property taxes to rise more dramatically, as assessors recognize the leasing improvements in apartment values. We originally anticipated our property taxes to be up approximately 4% in 2012. The vast majorities of our assessments are now in and our Texas markets were the only markets where assessed values materially exceeded our expectations However, the negative impact of our higher assessed values in our Texas market has been entirely offset by favorable settlements of prior year tax protest for a number of our communities, and as a result, we anticipate property tax expense for 2012 to come in generally in line with our original budget. The remaining $0.01 per share increase in our FFO guidance is primarily the net result of the timings of our capital market and acquisition disposition activities. The favorable impact from the delay in expected disposition timing, has more than offset the dilutive impact of increased ATM issuances in the second and third quarters, as we continue to reduce leverage and pre-fund the equity requirements of our upcoming development activities. Our current 2012 guidance is based upon the following assumptions for the remainder of the year; $290 million in new own balance sheet developments starts in the third and fourth quarters. $150 million in additional acquisitions and $350 million in additional dispositions, all expected to occur in the fourth quarter at a negative cap rate spread of 100 to 200 basis points, between acquisitions and dispositions, and no additional shares issued under our ATM program. Our FFO guidance for the third quarter of 2012 is $0.88 to $0.92 per share, with a midpoint of $0.90 per share, representing a $0.01 per share increase from the $0.89 in FFO per share we delivered in the second quarter. This $0.01 per share increase is primarily the result of the following; a $0.03 per share increase in FFO due to higher property NOI, as the continuation of revenue growth from our same store portfolio and the additional contribution from the lease up of our development communities and recently completed acquisitions more than offsets our expected increase in property expenses due to the normal seasonal increase in utilities and repair and maintenance costs. The favorable impact from the growth and property NOI is being partially offset by $0.02 per share in dilution, resulting from the full quarterly impact of the 3.5 million shares we previously issued under our ATM program in the second and third quarters of this year, as we continue to reduce leverage and pre-fund the equity requirements for our development activities. At this time, we will open the call up to questions.
Operator: (Operator Instructions). Our first question comes from Michael Bilerman at Citi.
Eric Wolfe – Citi: Hey it's Eric Wolfe here with Michael. I just wanted to follow-up on your last comments on leverage. I am trying to get a better understanding, because obviously you have issued a lot of equity so far this year. If you are designed to operate sort of at lower leverage levels going forward or if this is just sort of a short term lowering of leverage, the pre-funded development pipeline, and we will see that leverage come back up as you going into 2013, 2014?
Dennis Steen: As I said we are definitely issuing equity to pre-fund development pipeline and our target range is 4.5 to 5.5 times debt-to-EBITDA. But generally, we clearly are operating at lower leverage levels than we have in the past. In the last cycle, the funding of the developments side of the business was done very differently than it has been done today. We used to draw on our lines of credit, give them up to about 50% or 60% of the available balance, and then we would do an equity offering or an unsecured debt offering to fund that. The challenge today though is that, we want to lock-in our financing costs with these new developments, so that we don't have a financing risk in the future associated with funding the development. So I think we are doing both. I think we are definitely operating at a lower debt-to-EBITDA leverage ratio than we have in the past, and we are definitely pre-funding the development.
Eric Wolfe – Citi: Right. So if you are going to be out, I guess, you said 4.5 to 5.5 times, that would I guess, would imply that you are going to keep sort of deleveraging further? I mean, is that a fair assumption I think you are at 5.7 times today?
Dennis Steen: I think that fair
Eric Wolfe – Citi: Then second question. Obviously your results are very strong and it's sort of weird to be talking about a slowdown in apartment growth. But that's what -- obviously just looking at analyst reports, that's what the fear is right now, that we have reached sort of this inflexion point that net growth is on the decline. So I am just curious, from your point of view, do you feel like things are slowing down, and your tenants are becoming more unwilling to pay sort of a higher share of their income or for you right now, it's just sort of continuing the strong growth that you are seeing for the last couple of quarters?
Ric Campo: I don't think that we see a slowdown. I think it's about a strong a market as we have seen in five or six years, and I don't think we are in the late stages of the game, I think we are in the -- sort of the middle part of the game. The part of the issue you have out there is that we haven't built anything for three years. So the building that's going on right now, is just filling a hole in the market that was created by the financial crisis. So our residents, while they don't typically like to get rental increases, they have the cash to pay it and half our markets are still below the peak in 2008. So I think there is a fair amount of runway left in this business. I think we all get caught up in the second derivative slowing -- and you keep in mind, this is a seasonal business. So last year, I know in September, everybody freaked out when most of the apartment companies started slowing down and getting ready for the seasonal slowdown in traffic. Our customers they move around a lot in the summer, and then they slow down in the fall, and slow down in the winter for obvious reasons, and then they kick back up in the spring. So I think we are going to see the same seasonal patterns, but I think what happened last year, is that the market looked at it and said, oh my god, the apartment run is the over, and it was really the seasonal factors that we have every year for the last 25 years that I have been in this business. So I don't think that -- we don't feel like anyway that our resident campaign we are in, that they are pushing back so hard and don't want to pay a larger percentage of their income.
Eric Wolfe – Citi: That's very helpful. Thank you.
Operator: Our next question comes from Jana Galan at Bank of America/Merrill Lynch.
Jana Galan – Bank of America/Merrill Lynch: Thank you. Hello. I was curious if you could give us some more detail on the D.C. market and kind of how it's been trending better or worse in your expectations at the beginning of the year, and then kind of your outlook for the back half?
Keith Oden: Sure. The D.C. metro for year-to-date posted about 3.7% on revenues and a lot of growth of about 6% and in any other -- in most other environments that we've ever operated in, those will be considered really strong results. But when your overall portfolio is cranking along at something closer to the 9% same-store NOI growth, people look at that and it certainly feels like it's weaker than the rest of the portfolio, which it most certainly is. But for those kinds of numbers, it's just not relative to historical norms, that it's still a market that I think of is, is really quite healthy. We are -- relative to our expectations not only is D.C. -- will D.C. exceed our original budget, but by the end of the year we expect that every single one of our 15 markets will have exceeded our original plan, including D.C. So we think we set our expectations appropriately for the D.C. market. We think when it's all said and done there, we'll hit slightly above our original targets for the year. There's a lot of conversation about new supply, and while there certainly is some new supply coming in D.C., we think the deliveries this year will be in the 5,500 to 6,000 apartment range. But if you juxtapose that with the projected employment growth of about 50,000 this year and about 40,000 next year, if you take the deliveries expected plus the employment growth expected, we're still in a ratio of employment growth to new supply coming online that feels very comfortable with us at about a 8.5 times employment growth to new deliveries. So I think it's -- there is a tendency to want to look at D.C. as a weak market, because if you rank it against our other ones it would be, but I -- and we just don't see it that way. Again, I think the 3.7% revenue growth year-to-date is quite good and I think that we see that continuing without a lot of disruption from the new supply that’s laid in.
Jana Galan – Bank of America/Merrill Lynch: Thank you very much.
Keith Oden: You bet.
Operator: Our next question comes from Karin Ford at KeyBanc Markets.
Karin Ford – KeyBanc Markets: Hi, good morning. First is just a clarification. Keith, did I hear you say that traffic was down on a year-over-year basis in the quarter?
Keith Oden: Yeah, year-to-date it's down about 2%, which is -- we had a great traffic year last year coming out of the 'O9 timeframe. It doesn't surprise me that it's down slightly. The greatest -- the best tell is whether or not, with regard to traffic, is whether or not you have sufficient traffic to both raise occupancy rates as well as push rents, and we've done that for the last two quarters. Statically speaking, I wouldn't even call it significant but it is down by 2% from the prior year.
Karin Ford – KeyBanc Markets: And did that continue into July as well.
Keith Oden: I don't have the July traffic numbers, but I can get them to you.
Karin Ford – KeyBanc Markets: That's fine. My second question's just on Las Vegas. I think a couple of calls ago, you said you had some hope for that market to turn around this year. It looked like it made a pretty nice sequential move this quarter, both in occupancy and revenue. Just talk about what your outlook is on Las Vegas going forward?
Ric Campo: Yeah, I don't think our view has changed much. We think that we're probably just off the bottom. All the metrics that we see, even though on a sequential basis it did move up a little bit, I think we're still in a slow grind, out in Las Vegas. There certainly is a better, if you look at all the economic -- macroeconomic factors in Vegas, whether it's visitor traffic, whether it's revenues on the strip, clearly there is a marked improvement from where we were two years ago. And that translated into a bunch of new job growth, not really in the real challenge that Las Vegas has with regard to employment growth, is that during the downturn, not only did their -- were there lay-offs, but as they got to a -- as casinos got to the point where they just literally couldn't lose any more bodies, they started cutting back work hours. And so what has to happen first is they have to build back to the point where you're working a full 40-hour week before you're going to start hiring new folks. So I -- I still don't think we're back to that point yet. But I think you can probably see it from here. It's the point when Las Vegas kind of gets to that tipping point, starts adding new employment then I think you can see the -- you could see the game change pretty quickly. But I think we're still -- that's probably still a 2013 story.
Keith Oden: Wind has Las Vegas moving into the top ten employment markets and revenue growth markets by '14.
Karin Ford – KeyBanc Markets: Great, thank you.
Operator: Our next question comes from Alexander Goldfarb at Sandler O’Neill
Alexander Goldfarb – Sandler O’Neill: Good morning down there.
Richard Campo: Good morning.
Alexander Goldfarb –Sandler O’Neill: Just two questions, the first one is, going to taxes, you guys had said that the increase in taxes was offset by winds from prior year's -- agreement taxes. Going forward, is it reasonable to think that the legal wins and reducing taxing will diminish such that the increasing of taxes is going to start to be the driver and you're not going to be able to have the two offset each other, is that fair as we think about 2013?
Dennis Steen: Yeah, I think as you go further into the recovery, you're going to have less of an impact from prior year settlements and that should kind of give you kind of a scope of what that was this past year. Probably if you took that out of our number instead of us being up close to our budget of 4% would probably be up closer to 5.5% and 6% range for taxes for the current year.
Ric Campo: We have always had very aggressive litigation and tax strategies and I don't think there's been a year in the last 10 years that I can imagine that we -- that I remember that we haven't had some good wins on that subject. But obviously the market today, governments need capital and it's no secret that property values have increased. So it is definitely more difficult to win those battles and -- but we will be very aggressive on that front.
Alexander Goldfarb –Sandler O’Neill: As far as timing of those wins, the wins that you settled this year, those are relating to what years? Last year, two years ago, three years ago?
Dennis Steen: It was actually last year, all last year.
Alexander Goldfarb –Sandler O’Neill: Okay, okay, that's helpful.
Ric Campo: You never know when you're going to get that win because you protest and then you litigate and then you settle or you go to court. And you have to remember taxes, it's very interesting. People think that property taxes are a function of what the market value of the property is, but it really isn't that simple. Property taxes are a function of the relative value of your property and how it is assessed compared to your neighbor. So for example, if we think the property's worth $25 million and it's actually worth $25 million, but it's assessed at $15 million, it's not about whether it's really $25 million, it's what the properties across the street are assessed at and the relative values. So that's where the litigation comes into effect because it gets into a fairness issue on how your property is valued relative to others. So that's kind of an interesting nuance of the whole property tax game.
Alexander Goldfarb –Sandler O’Neill: Okay, that's helpful. And then Dennis, second question is as we think about the $190 million that's due in the fourth quarter this year. Just to your general thoughts, the unsecured debt markets have obviously been very good but the bank unsecured term loan markets are each -- are equally competitive. So what are your thoughts between weighing one market versus the other for the upcoming maturity?
Dennis Steen: Well, if you kind of look at what our costs of that would be as we sit here today for an unsecured bond offering, we're probably looking at a 10-year that's probably in the 3.3% to 3.4% range and unsecured debt with 55% leverage would be somewhere -- I'm sorry secured debt with 55% leverage would be somewhere around that same ballpark. So we are still very much an unsecured borrower. We like the unencumbered aspect of our properties with using unsecured debt. And as we look forward, we're probably more on the side of an unsecured offering versus secured.
Ric Campo: But you would prefer the -- just the straight 10-year corporate versus the bank term loan.
Alexander Goldfarb –Sandler O’Neill: Yes, okay. Thank you.
Operator: Your next question comes from Rob Stevenson with Macquarie.
Rob Stevenson – Macquarie: Good afternoon, guys. Keith, you're starting -- going into the third quarter of '12 with 50 basis points higher occupancy than you went into the third quarter of '11. Is that enough occupancy to allow you to keep pushing rental rates for harder -- for longer before you start backing off, because of the seasonality?
Keith Oden: Rob, our -- we're basically at our plan right now. I mean we had a -- we have a fair amount of seasonality to our occupancy rate and always have. So I think you could expect that all things being equal, we'll continue to get pretty healthy rental increases. We are probably going to give up some occupancy in the second half of the year, just because we always do. And again, we model our portfolio and have consistently tried to stay right around that 95% range. And we've consciously made some decisions to let the occupancy rate drift up this year over what we did last year and because we definitely had a dip in the third and fourth quarter. We are going to see that again, but I think as we trend our portfolio down relative to our original plan, it probably get back down to, high 94s, mid-94s in the fourth quarter. So yes, I think you will see that as we typically have in the past, but I still believe that we are going to be able to get the rental increases that we've got in our plan.
Rob Stevenson – Macquarie: Okay. And then – and I guess the other question I have is, give me your commentary on development starts in the back half of the year acquisitions. Why not sell more assets to fund that given how good that market is right now, and my guess is that you're probably looking at, at least the 100 basis points of margin differential between the bottom part of your portfolio and the average, so you'd have a significant addition by subtraction?
Ric Campo: Well, we are if you – our disposition program is $350 million between now and the end of the year. We probably have more like $470 million, that's in the pipe to be sold, but a lot – the sum of that's going to spill over into 2013. So this is the biggest disposition pipeline that we have had in the last four, five years. So we definitely view that as a disposition program in the capital recycling side of the equation as a major source of capital to fund the development as well. So it's really just a balance between how much you're willing to sell versus how much ATM issuance and secured – unsecured debt that you're willing to do. So we definitely are doing that and we think it's a great move.
Rob Stevenson – Macquarie: Okay. Thanks, guys.
Operator: Our next question comes from Rich Anderson at BMO Capital Markets.
Rich Anderson – BMO Capital Markets: Hey, thanks. Good afternoon. I am here with [Jeremy Lynn].
Ric Campo: No, he is here in Houston.
Rich Anderson – BMO Capital Markets: No, he is not.
Ric Campo: Not yet, yes. No, he is gone I know. He was permitted, right?
Rich Anderson – BMO Capital Markets: So question on the topic of Houston and you just mentioned asset sales being – our disposition pipeline being and is biggest ever being in four years, with Houston being one of those markets given all operations being where they are and maybe if anything that market starts to dwindle down a little bit if (inaudible) in the future?
Ric Campo: Well, the way we look at our acquisition – our disposition program is we try to improve the quality of the portfolio. And so, we are really focused on sort of the bottom part of the portfolio from a sales perspective and there are some Houston assets in there. But I don't look at the market and say Houston is having a great run, therefore we ought to slowed up on selling assets in Houston. It really gets down to the quality of the portfolio and where that asset is vis-à-vis submarket. And I think execution is going to have a long run on this oil issue because when you think about what's going on, the nature gas fracking that's going on across the country is being run in Houston. A lot of people don't realize that the mining jobs in Houston that you see when you see the nature of the jobs, the mining jobs are actually high tech jobs. They are 25-year-old to 30-year-old tech people monitoring flows and the fracking business. So, it's I think execution is great long term and I wouldn't want to sort of sell my best assets in Houston. If it's worldwide, I want to sell sort of my worst which is what we are doing.
Rich Anderson – BMO Capital Markets: Okay, excellent. And my second question is Ric early on your commentaries of the exclusivity period is over for the fund and so that everything else you acquired will be 100% on balance sheet. But I m curious what is the – is there any leftover buying, I assume there is, I don't know the number is that the fund could buy if you want them to?
Ric Campo: No, fund, the only – we do have some excess capital left in the fund and it could be used for development but not acquisitions.
Rich Anderson – BMO Capital Markets: Okay, great. That's good. Thank you very much.
Ric Campo: Sure.
Operator: Our next question comes from Dave Bragg at Zelman.
Dave Bragg – Zelman & Associates: Hi, good morning to you. I did want to just revisit the question from couple questions ago about the relationship between your answer on relationship between dispositions and starts. And seen as your start plans for the year appear to be pretty consistent with your initial expectations, but your disposition plans have really picked up as the year has progressed. Can you talk about that?
Ric Campo: Sure. The whole funding, when you think about funding our balance sheet, we have a lot of ways to fund it via equity insurance, unsecured debt and dispositions. And so, what we have ramped up the dispositions and part of it is just that balance between capital sources. And the other part of it is, is there going to be a significant narrowing of cap rates on older assets versus cap rates on newer assets. And what happened is, well cap rates have gone in places like Charlotte, Houston and elsewhere, the core assets now are all selling in the force and so, because core assets are sold in the force you are pushing buyers of properties in those markets in the older assets or non-core middle, maybe secondary locations or assets that aren't on the corner of main domain. So what's happened is that spread that used to be 250 basis points wide is like a 150 basis points wide. So, you've got a really interesting opportunity to sell assets at lower cap rates and the higher prices than you did say 12 months ago. And that's one of the reasons we are ramping up our disposition program because we think that the opportunity to capture those lower cap rates and lower the negative spread that we have between our acquisitions and our dispositions is pretty attractive today.
Dave Bragg – Zelman & Associates: That's interesting. Thank you. And then just, as you think about the group of assets that you are planning to sell, you certainly touched on their asset quality, but can you talk about the market mix and your thought process behind that part of it?
Dennis Steen: Yeah, Dave, for the assets that we have for sale, I think Ric mentioned in his comments, have an average age of 23 years versus our average portfolio age of about 11.5 years. Though they are on average, they're twice as old as the average asset in our portfolio. They go across probably seven of our markets though it's pretty widespread from the standpoint of where the dispositions are going to come from. But more importantly, it's not -- as Ric mentioned, it's really not about market -- making a market call, it's about making an asset in the submarket call and we have a very, very detailed ROIC tracking metric that we look at and when assets fall to the bottom of the three- and five-year return on invested capital, ranking within our 200 assets which obviously takes into account the higher CapEx requirements on older assets, if you find yourself in the bottom 20 assets, then you're very likely to be on a disposition list and then it gets down to what's the appropriate timing. And as Ric mentioned, this happens to be what we view as a very attractive time to be selling these older assets because the cap rates that are being attached to them. And obviously that's -- a large part of that's being driven by the available financing that's Fannie & Freddie are still very active and individual investors or small groups of investors can put together a club deal on these assets, get a Fannie & Freddie loan. If they're willing to go shorter on the yield curve at 2.5%, 3% and even though what looks like a relatively low cap rate to us in the sixes, when you marry that up with 60% or 70% levered on these what the worst assets in our portfolio are still quite good relative to all multifamily. Now these folks have the opportunity to put together a capital stack that produces 8%, 8.5% cash on cash return to their equity. And today's yield starved environment, there are a lot of people that find that very attractive.
Dave Bragg – Zelman & Associates: And just the last question on that point. You mentioned that half of your markets are below prior peak range. What's the relationship between cap rates at the market level and where rents are relative to peak or just -- for example, Las Vegas where rents are well below peak, what's the relationship between cap rates there and some of our other markets.
Dennis Steen: There are very low even in Las Vegas. Last -- beginning of the quarter or beginning of the year, we sold a property in Phoenix, for example. That was a 25-year-old asset that nearly at a 5.1 or 5.2 cap rate and we were just shocked by that. But it goes to the issue, the key problem about the financing availability and then the expectation of rent growth. So Las Vegas as an example if the assets are trading there in the low fives because there's an expectation that there's going to be a big rent pop in Las Vegas, we are still down 18% so we have very little recovery, so we lost 18% of our revenue in Las Vegas during the downturn. And so when investors go to Vegas, it's sort of the last place that people can buy property that have that kind of upside. Now most of the other markets, Phoenix is getting back some of theirs, but maybe about half of what they lost. But Las Vegas is getting back zero, so people are buying by the pound and buying by -- which drives the cap rate really low.
Keith Oden: So Dave from -- just to put some macro touch on that, on those comments from where we are today portfolio wide across 15 markets, rents are 2.4% higher than peak in our entire portfolio. Now obviously there's a pretty big dispersion there and Ric mentioned seven markets where we're still below peak. But were those -- other than Las Vegas where that occurs, we're down in the 2% to 3% range in terms of distance from peak. So I would guess that within the next six months, absent Las Vegas, we'll probably be close to -- back to peak in virtually every market expect Las Vegas. And as Ric mentioned, we've still got a lot of room to recover there from where we were in the peak.
Dave Bragg – Zelman & Associates: Okay, great. Thank you.
Keith Oden: You bet.
Operator: Your next question comes from Paula Poskon at Robert W Baird.
Paula Poskon – Robert W Baird: Thanks. Good morning, everyone and good afternoon. A question on the field staff. Are you seeing any increase in fleet turnover at the properties? And as job growth improves broadly in your markets, how do you sort of think about staying ahead of that in terms of retention strategies?
Ric Campo: Paula, that's a really good question and we have -- I would hazard to guess that we have the lowest turnover rate not just this year, but going back over a period of 10 years in the multifamily business. Our company-wide turnover last year was less than 20%. Obviously it's lower than that in the corporate office than it is on sight, but it's -- we have a remarkable track record of being able to retain our employees and that -- there are a whole lot of things that go into that. But obviously competitive compensation and benefits, but we also do a lot of things that I think none of our competitors do and most of the product companies are not able to do. For example, our community managers every year get a grant of Camden shares that's five-year besting and which is a 100 shares per year and we've been doing this for almost 15 years now. So we've got a lot of community managers that have been with us for a long period of time that have a decent stake in the Camden game by virtue of share grants. So there's a whole lot of things. But at the end of the day, we have not seen any increase in our turnover rate nor would I expect us to do so. I will say though that one of the places that we definitely have seen pressure and that we're not dealing with and haven't dealt with in the last five years is in Houston with regard to our corporate staff, the oil companies, the demand for talented, financial either two-year, five-year or seven-year people is off the charts and why you might not think that there would be much translation from the real estate business to the oil business. If you're a talented financial professional, there are -- it's crazy what the oil companies are doing in terms of making offers to folks. And in particular, we've had to deal with that and we're making adjustments where we need to and have to, but that's definitely an area of pressure. Maybe unique to Houston, because we're probably going to create in Houston probably close to 90,000 jobs again this year and it maybe also unique to the oil patch. But we just happened to be headquartered here, so it's an issue for us, but others might not be the only one.
Paula Poskon – Robert W Baird: That's helpful. Thanks.
Ric Campo: Yeah.
Paula Poskon – Robert W Baird: And sticking with the Houston discussion, I recall from our navy dialogue that you'll be in the market for new office space. Have you started that process yet? And if so, how's it going?
Keith Oden: Yeah, we've started the process and that means that we're just kind of looking at alternatives. We have -- back to the old business, for those that may not be up to speed on this, but we have a lease that expires in 2015. We had a right to an extension, but it was subject to a prior right of Occidental and Occidental has basically told everybody in this building that as their lease expires, they intend to exercise their prior right and eventually occupy 100% of the building that we're in. So we got -- kind of good news is we got time to deal with it. The bad news is moving is never -- it's a lot of moving parts. In our case, it's kind of good news, bad news frankly because we've grown so much over the years from being less than a full floor user to almost three, four floors and we've done it by dribs and drabs and frankly our configuration and stacking right now relative to what we would do in an ideal world is pretty abysmal, so -- and we've got people kind of -- some people kind of sitting on top of each other. So it will be a good opportunity for us to rethink our -- how we should be organized and take a fresh look at things and the good news is we got a few years to deal with it.
Paula Poskon – Robert W Baird: Thanks very much.
Keith Oden: You bet.
Operator: Your next question comes from Michael Salinsky, RBC Capital.
Michael Salinsky – RBC Capital Markets: Good morning, guys. Ric, in light on your comments on the job's front they're not being quite up to what you had hoped but still having good rent growth? Can you give us an update on the -- how you feel on supply? [Rene] went through some statistics before kind of talking about job creation for supply. I wonder if that's still holds true and how you feel about the supply situation kind of going forward?
Ric Campo: Sure. As I said in my initial comments, supply is not a threat in any of our markets right now. I know that people worry about supply because when you look at the low levels that we had during the ugly part of the recession where we dropped supply down to 75,000 units a year, which is not enough to offset obsolescence of about 125,000 units. Now we're backed up to maybe nearly 200,000 units. So with that said, the supply that's coming now is really stealing the whole. You look at places like Houston, you are 97% occupied which is basically full. So there's really no place to go. So, what's happening is the supply that's coming in play now in most markets, especially in markets where you can build and you build because you need it. The units that are coming in, not next year, end of this year and into next year are really just filling the hole that will balance the market. It's the supply that will come in 2014 and '15 that you have to worry about not 2012 and 2013. So when you look at the jobs that are created and the demand that those jobs are producing in apartments, I thinks it's more skewed towards apartments primarily, because when you think about the jobs that have been created, nearly 60% of the jobs have gone to the people 34 and younger. So a lot of these jobs that are created are going to our customers as supposed to people that have a lower propensity to rent and the higher propensity to buy homes and live in a single family environment. So I'm not worried about supply things. There's plenty of jobs to be able to able to absorb the supply that's in the market between now and 2013. The question will be, if we had total 250,000 jobs a month, our business – if you can imagine would be a lot better because there is just no place for people to go and they are competing big time for few of – few spaces to go.
Michael Salinsky – RBC Capital Markets: I appreciate the color. Then Dennis just a question what the [debt or credit] you guys recently received, does that change any – does that make any changes to the credit facility or do you guys benefit any way from them?
Dennis Steen: No, we were already split graded and we've kind of been trading from a debt perspective at that higher split grades of having Fitch kind of move us up really didn't do much to the change in the cost by debt.
Michael Salinsky – RBC Capital Markets: Okay, thanks guys.
Operator: (Operator Instructions). Our next question comes from Karin Ford at KeyBanc Capital Markets.
Karin Ford - KeyBanc Capital Markets: Hi, just wanted to ask a bigger picture strategy question, As you guys are doing some of the portfolio recycling here and asset sales and then buying and developing, do you have plans to urbanize the portfolio more within your market, is that a goal as you look towards sites that you're buying and things that and assets that you're acquiring?
Ric Campo: Generally, I think the answers yes. And primarily because the demand of the customer is for urban product in most markets and this is a trend that has been going for quite a while. The issue of – and you have to think about sort of the Millennium, the [Genwires] that we are – that are our customers, they want to be closer in, they want to be closer to the action where they can deal with – get involved with all the social things that are going on in their cities. And so there has been definitely a move towards a more urban. Now on the other hand, our suburban properties are doing really well. And so it's – even though urbanization has definitely been get them going on and will continue to go on, our portfolio has definitely been getting newer and closer in over the last five or 10 years and it will continue to do that over the next five or 10 years because that's where the customers really want to be. And I think that's not new, but it's just a continuation. One of the things that I think is interesting in the development side, is that the apartments are actually getting smaller, and so what's happening is the apartments are getting smaller and the social statuses are getting bigger. So people want -- and that gets to affordability, where you are trying to get people in. Most people want to live on their own. They don't want to live with a roommate situation. So if you get a small space that's relatively affordable for those folks, they are willing to do that and to live in that. There's an article that the Houston Chronicle did a while back in one of our projects, Camden Travis Street and the reporters were shocked that somebody would live in a 535 square foot unit and pay $1,200 a month in midtown Houston, and when you go out into the suburbs pay the same price for a two bedroom. The person that lives there really wanted a small unit and they wanted to live in that location. Its right on White Whale and they were willing to pay that price, in that space. So urbanization continues, the development business is definitely shrinking in terms of unit size and becoming more social space oriented, as opposed to big apartments, which I think is a really interesting trend. But you got plenty [wealth] to be more urban.
Keith Oden: Now I think they just went to see that and see what Ric's talking about is in our supplement on page 40 where we lay out the development pipeline and land. We referenced eight communities on that schedule, representing about 2,900 apartments and by our characterization of those, roughly 2,100 of those would be urban and 800 would be suburban.
Karin Ford - KeyBanc Capital Markets: That's interesting. Okay. Then just finally, as you are bidding up the new starts coming up, are you seeing any upward pressure on construction costs?
Ric Campo: We are definitely seeing some upward pressure, and I think the days of that subcontractors who worked for food are over, and they are now actually requiring a profit margin. So we are definitely seeing some accretion -- nothing dramatic. 1% or 2% in commodity prices or 3 or 4. So we are putting a modest price inflation into our budgets where we didn't do that last year, and then the interesting thing is, our construction costs in our existing pools, in lease-up and the under construction right now are cutting in below our original budgets. But we are definitely putting some price inflation in the new budgets.
Karin Ford - KeyBanc Capital Markets: Thank you very much.
Operator: At This time we have no further questions. I would like to turn the conference back over to Ric Campo for any closing remarks.
Ric Campo: Great. Well, we appreciate your interest in Camden and it's nice that we ended before [Amko] starts. So with that we will talk to you next quarter, and if anybody has any questions or follow-up, go ahead and get a hold of Keith or Kim or Me and we will be happy to answer those. So thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.